Operator: Good day ladies and gentlemen, and welcome to today’s CNA Financial Corporation Quarterly Earnings Call. I’d like to remind everyone that this conference is being recorded. And now I’d like to turn the floor over to Scott Weber. Please go ahead.
Scott Weber: Thank you, Greg. Good morning and welcome to CNA's discussion of our 2018 second quarter financial results. By now, hopefully all of you have seen our earnings release, financial supplement, and presentation slides. If not, you may access these documents on our website, www.cna.com. With us on this morning's call are Dino Robusto, our Chairman and Chief Executive Officer; and James Anderson, our incoming Chief Financial Officer, in addition to Craig Mense, our current Chief Financial Officer. Following Dino and James's remarks about our quarterly results, we will open it up for your questions. Before turning it over to Dino, I would like to advise everyone that during this call, there may be forward-looking statements made in references to non-GAAP financial measures. Any forward-looking statements involving risks and uncertainties that may cause actual results to differ materially from statements made during the call. Information concerning those risks is contained in the earnings release and at CNA's most recent 10-K and Form 10-Q on file with the SEC. In addition, the forward-looking statements speak only as of today, Monday, July 30th, 2018. CNA expressly disclaims any obligation to update or revise any forward-looking statements made during this call. Regarding non-GAAP measures, reconciliations to the most comparable GAAP measures and other information have also been provided in the financial supplement. This call is being recorded and webcast. During the next week, the call may be accessed on CNA's website. With that, I will turn the call over to CNA's Chairman and CEO, Dino Robusto.
Dino Robusto: Thank you, Scott. Good morning everyone. I am pleased to share our second quarter results with you today, which show our continued progress in growing our underwriting profits. But before I start, I want to welcome James Anderson to our analyst call and after my remarks I will turn it over to James. You will recall that we announced last quarter that James is taking over from Craig Mense who is retiring at year end. Craig is also with us on the call today. Our core income this quarter was $0.99 per share bringing our first half, per share earnings to $2.02 which is the highest happier earnings for CNA in over 10 years. We are pleased with the second quarter $0.99 per share core income as it included an $0.08 per share after tax impact for IT investments to be made as part of our technology and analytic strategy. Core income for the second quarter was $270 million, which was $31 million higher than a year ago, our return on equity was 9.1%. Overall our second quarter 2018 combined ratio of 93.8% is essentially in line with last year’s 93.5% as catastrophe losses were lower in this year’s quarter and prior period development was comparable. Our underlying combined ratio of 95.3% reflects a modest increase over the same period last year at 94.6%. You may recall, we had an unusually low number of large property losses in last years’ second quarter, which we attributed partially to good luck. Large property losses were slightly higher than expectations in this years’ second quarter but essentially consistent with expectations for the first half of the year, so nothing unusual in our property losses year-over-year, simply normal fluctuations quarter-to-quarter. You will recall that I have consistently highlighted in my comments regarding our focus on improving our expense ratio and we were going to continue to make the necessary investments in technology, analytics, and talent all the while reducing our expense ratio which at 33.5% for the quarter is down almost a point from year-end 2017. We had solid growth with net written premium in the quarter increasing 4% from last year. Our underwriters continue to effectively manage the rate retention dynamic with strong support from all levels of management. In the second quarter, we continued our momentum on pricing achieving rate increases in commercial, overall of plus 1% and excluding worker’s compensation, commercial was plus 2, specialty at plus 2% and international of plus 3%. In Commercial, workers compensation rates declined by 3.5% while at the other end of the spectrum was auto at plus 5%. The work comp rate dropped slightly from the first quarter but not concerning in light of the benign loss cost trends in frequency and severity we have been experiencing and continue to experience. All other major commercial lines had positive rate increases that were consistent with a slightly higher than the first quarter increases. We continue to be encouraged by the rate we can achieve in the market and importantly our ability to effectively achieve strong rate retention outcomes at the individual account level. Our P&C retention ratio was 82% this quarter, a decline of 1% from the prior quarter, driven mainly by specialty’s retention, which dropped three points. As I have commented previously, we have a couple of pockets of our healthcare portfolio, namely large hospitals and aging services, which have greater rate – which have greater need for rate increases and our underwriters have been pushing successfully to obtain them as evidenced by 30% of our healthcare renewals in the quarter having a rate increase of more than 10%, which drove the overall healthcare portfolio rate increase at 6%. And when they could not secure the necessary terms and conditions in line with our risk adjusted return requirements, our underwriters appropriately walked away from those accounts which are the primary driver for our healthcare retention ratio of 73%. Our retention in international was also down in the quarter, driven by our Lloyd's Syndicate Hardy where we continue to reduce our Cat [ph] export property, whereas in Canada, which has consistently been our most profitable geography outside of the U.S, the retention was essentially stable. In commercial, our retention as shown on page 10 of the earnings presentation remains consistently strong at 85%, in both the first and second quarters. Our underwriters have also been successful in securing higher rate increases this quarter in other lines, while maintaining a stable retention. For example, in management liability we achieved a 1% increase due to the half-point improvement from Q1, but a three point improvement from Q3, 2017 while retention was consistent with the first quarter at 89%. An additional benefit for the quarter is that exposure growth increased over a point from the first quarter, resulting in a second quarter written renewal premium change of 4.2% which is two points higher than our loss cost trends. On an earned basis, our renewal premium change is now on par with our loss cost trends. While the increase in renewal premium change was a key component of the total growth in the quarter, we also achieved 15% new business growth this quarter compared to a year ago. In commercial, our new business growth was broadly spread across our target -- target and market segments in both specialty and international, we were successful in writing a new professional liability affinity program, which has long been a key focus area for us and where we have historically been very profitable. As well, in specialty we grew new business in management liability 55%, although this is off a relatively small base, we are encouraged given it is an area of focus for us. Reviewing our performance six month into the year, we continue to be optimistic about our journey to achieve the same top quartile industry performance that I have consistently discussed with you. Our strong results for the first half of the year fuel our optimism as they are driven by our pretax, underlying, underwriting income, which was $190 million, up 43% from the first half of 2017. Our first 2018 underlying combined ratio improved 1.6 points to 94.3% compared to the first half of 2017. The first half underlying loss ratio improved six tenths of a point to 60.7 from the first half of 2017, which is clearly top quartile performance. And importantly, the lower underlying loss ratio is driven in part by improvement in healthcare reflecting the vigorous actions we have taken over the past year and a half that I previously referenced. As you have heard me reveal with each subsequent earnings call, our journey has many components to it, which grew greater underwriting discipline, strengthen collaboration between underwriting and claims risk control and actuarial and hiring a strong industry talent the latest being Jennifer Livingstone as our Chief Marketing Officer. As well, we have increased our strategic engagement with our agent and broker partners at every level of the organization. As I have also highlighted in the past, paramount along the journey is enhancing our technology and analytics capability, as these areas continue to evolve, we will continue to invest accordingly. The investment I referenced earlier in my remarks is one example of that. As you may have seen in the press release this morning, we entered a multiyear relationship with Atos, a global leader in digital transformation as well as infrastructure and data management platforms to manage our IT infrastructure. This partnership will facilitate the transformation of our IT operations to orchestrate a cloud migration and meaningfully enhance the user experience. Additionally, it will reduce current technology cost by at least 10 million a year beginning in 2019. You may have also seen a recent press release regarding an anchor investment we made in MTech Capital, a fund that invests in newly formed InsureTech entity that we expect will give us additional strategic insight into the evolution of technology analytics. We are excited about the advancement technology and analytics will continue to offer us across our value chain and we will continue to take advantage of this evolution. Turning to our Life & Group segment, we had a core loss of $10 million for the quarter and a gain of $4 million for the first six months of this year, evidences continued breakeven earning since our unlocking in 2015. Our conservative set of assumptions that underlies our carried reserves along with our active management of our one-off long term care business continues to generate results in line with expectations. Overall, the second quarter and half year results reveal that our disciplined execution along our journey that sustain top quartile underwriting performance is paying off, evidenced by our consistently improved underwriting results which we have achieved while growing our premium revenue with good quality new business and doing it all more cost-effectively. And this success in execution underlies the confidence we have in our ongoing earnings potential, and therefore we are pleased to enhance the 17% increase in our regular quarterly dividend to $0.35 per share, an increase of $0.05 per share and with that, here’s James.
James Anderson: Good morning, everyone. And let me just say that after five plus years of watching and learning from Craig, I’m going to do my best to live up to the high standards he’s set, while also helping Dino and the team execute on the goal of consistently generating top quartile results. Our property and casualty operations produced core income of $319 million, up 22% from the prior year quarter. Pretax underwriting profits of $105 million was consistent with recent quarters driven by a steady underlying combined ratio and $59 million of favorable loss reserve development. Each of our three P&C segments produced favorable development with specialty accounting for the majority. Specialty's development was primarily driven by our professional liability business as well as Surety that comes predominately from actions year 2015 and prior. For the second quarter, our net pretax catastrophe losses were modest at $26 million or about one and a half points on a loss ratio. Our expense ratio also improved at 33.5%, which is representative of our current run rates. Moving to each of our P&C segments, specialty’s combined ratio was 86.8 for the quarter and underlined combined ratio was 92.7 or half-point lower than the prior year’s second quarter, with the loss ratio driving the improvement. For the first half of 2018, specialty’s combined ratio is 87.2, a strong result by any measure. Our commercial segment’s combined ratio in the second quarter was 96.6. This result included 2.5 of catastrophe losses which is a favorable result by historical standards. Commercial second quarter underlying combined ratio was 95, a point higher than the prior year’s quarter. For the first half of 2018, commercial’s combined ratio was 96.8, more than a point better than the first half of 2017. Our international segment generated a combined ratio of 104.7 in the second quarter, driven by a higher number of large property losses as Dino mentioned. International’s combined ratio for the first half of 2018 was 100.8. Within our second quarter Life 7 Group result, long-term care morbidity experience continues to be consistent with our reserve assumption. Rate increases, investment income and reduced expenses were all small positives. Persistency was slightly unfavorable. Our corporate segment produced a core loss of $39 million in the second quarter, which included the $23 million after-tax charge related to our new IT infrastructure arrangement Dino referenced in his remarks. Pretax net investment income was $506 million in the second quarter, compared with $475 million in the prior year quarter. This improvement was driven by a limited partnership in common equity portfolio which produced $43 million of pretax income of 1.8% return compared with 16 [ph] million last year. Pretax income from our fixed income security portfolio was $454 million this quarter, which is essentially flat to the prior year quarter. The pretax effective yield on the fixed income portfolio was 4.7% in the quarter, a level that we’ve been able to keep relatively stable over recent years without taking on more risk. The composition of our investment portfolio was relatively unchanged with the exception of our continued gradual shift from lower yielding tax exempt municipal securities in our P&C portfolio to corporate and asset backed securities based on the relative value being offered. Fixed income assets to support our P&C liabilities had an effective duration of 4.5 years at quarter end in line with the portfolio of targets. The effective duration of the fixed income assets that support our long duration Life & Group liability with 8.2 years at quarter end. Our balance sheet continued to be extremely strong. You will likely have seen that both AmWest and Fitch moved CNA to a positive outlook over the last six weeks, following favorable actions from both movies and S&P last winter, providing further validation of our capital strength and improving earnings dollar. At June 30, share holders equity was $11.4 billion or $42.06 per share and shareholders’ equity excluding accumulated other comprehensive income was $12 billion or $44.29 per share, an increase of 4% from year-end 2017 when adjusted for the $2.60 of dividend per share paid so far this year. Our investment portfolio’s net realized gain was $1.9 billion at quarter end. In the second quarter, operating cash flow was $136 million and we continue to maintain a very conservative capital structure. All of our capital adequacy and credit metrics are well above our internal targets and our current ratings. With that, I’ll turn it back to Dino.
Dino Robusto: Thanks James. Before we move to the question-and-answer portion of the call, let me briefly leave you with some summary thoughts and our performance. Our second quarter core income was $31 million higher than Q2 2017 and our first half core income was $77 million higher year-over-year. We have pretax underlying -- underwriting income of $79 million following up on $111 million in Q1 giving us a $190 million for the first half of the year, up 43% over the same period last year. Solid growth of 4% in net written premium for the quarter and 7% for the first six months, our Life & Group segment continues to sustain breakeven earning since our unlocking in 2015. At 2018 second quarter core return on equity is 9.1% and net income return on equity is 9.4%. Our core earnings per share for the first half of 2018 were $2.02, the highest level of half year earnings at C&I in over 10 years. And finally based upon the confidence in our future earnings potential we increased our regularly quarterly dividend to $0.35 per share. And with that, we'd be glad to take your questions.
Operator: [Operator Instructions]. Okay. And first from Deutsche Bank we have Josh Shanker.
Josh Shanker: Yes. Hello everyone. Congratulations on decent quarter. First question, can you give us the renewal rate price increases and the retention numbers excluding healthcare?
Dino Robusto: We don't – I don't think we can easily calculate it, but we can get it for you Josh.
James Anderson: Yes, Josh we can get it for you after the call. We just don't have in hands at the moment.
Josh Shanker: Just one thing I would say, if its 60% for healthcare overall, some rates to concept as much as 30%. It feels to me that -- and there's nothing wrong with this, but the rate renewal environment for the aggregate book might be close to flattish. Is that wrong to me to think it that way?
Dino Robusto: No, Josh, I think that's a good way. And it's flattish but slightly up, right. I think I indicated in my remarks comp and minus 3.5, last quarter sort of minus three. So you got about half a point there that was down, but international was up half a point, management liability was up half a point, auto was up four-tenth, ocean was up about a point. Property overall was essentially the same in the sort of low two percent-ish. Healthcare just in general in terms of, it's about 7% of the book, so -- but we can do the actual math, but that's a feel for…
Josh Shanker: 7% gives me enough, I can do it myself. I'm not going to put you through.
Dino Robusto: Okay. Fair enough.
Josh Shanker: Perfect. And then other question is, I'm just trying to sense style of analysis in the fourth quarter of last year you took this big reserve release on morbidity, a lot of watchers and investors were surprised about that given commentary about morbidity and others. You point out in the 2Q quarters now that morbidity was consistent with expectations. To what extent is the -- can we talk about with the second quarter underlying actuary analysis versus the fourth quarter? And would we expect it to be possible given what you do in 2Q that you would detect any changes if there was one?
James Anderson: Josh, the actuary analysis that we do for long-term care happens in the fourth quarter each year; so what we see on all the other quarters is as actual to expected calculations. So when we say that its in line with our expectations that we're set when we unlock in 2015 and on the gross premium valuations that we've done at the end of 2017, so there is no new analysis that's been done other checking actual towards expected.
Josh Shanker: Okay. That [Indiscernible].
Craig Mense: Josh, maybe, this is Craig, just to maybe add to that, but we certainly would see – it would directly answer your question, if things were changing we would see it, because we follow it. And client volumes have not changed for us over the last really two and half years.
Josh Shanker: So, can we just review the morbidity adjustment, what prompted that in 4Q? It was based on projected claims or based on actual claims?
Dino Robusto: Yes, Josh, when we unlock at the end of 2015, we were reacting to morbidity that we had seen in prior years before that which was really on heels of beginning of our rate increase program, so we had seen a lot of what we called shock morbidity leading up to the year in 2015. And when we did that 2015 gross premium valuation allowances, we projected that shock morbidity was going to continue for the next few years. And what we saw in 2016 and 2017 was it actually didn't. It normalized much quicker than we expected, so we had baked in higher levels of morbidity that we ended up not seeing and so that's really what drove the 2017 change.
Josh Shanker: Okay. Thank you very much for all the answers.
Operator: And moving on, we'll hear from Jay Cohen with Bank of America/Merrill Lynch.
Jay Cohen: Yes. Thank you. I wanted to talk about the international business, underlying combined ratio there for last six quarters around 100, and obviously it's not doing as well as the other segments. Is there a more concerted effort to drive that ratio lower, is that need maybe little bit more extra attention?
Dino Robusto: Yes. Jay, its Dino. Thanks for the question. It’s a good question. Look, first let me just start off by saying, all of the initiatives along the journey to sort of get to the top tier performance that I've been talking about, everything from the discipline underwriting culture, the talent, all of that that happens across everyone of our offices worldwide, but when you take a look at international, as we go international, you got everything from our Hardy Lloyd's syndicate to the Canadian operation which is maybe more what we see in the U.S. So, you got to take each of those sort of, in its components. So let me just make a couple of observation. Hardy which had been the area that's been most strange from a loss ratio and indeed a combined ratio standpoint is where we are and have been shifting over the course of the last six quarters from the standard Lloyd's type products, the marine, the shared-in-layered property, [Indiscernible] and what we are replacing it with and what we want the Lloyd syndicate to be is principally the target markets that we have expertise in that we think we can bring at a marketplace which is healthcare, technology, life sciences and certain aspects of our construction business. And that's a process that takes time and it has been going on, there's been – I believe its been mentioned some of the evolution away from things like aviation running off political risk. We had a very unprofitable A&H, we had some of our classic cap property which we're moving away from. And so our expectation – so that's a unique effort right for Lloyd's that transcend the other offices and that's the way we see Lloyd's playing up for us in the future and so we clearly expect more profitability from that. Now you take Canada on the other end of the spectrum, Canada, if you look at it historically over the last 10 years, 10 years -- this just had combined ratio under 90%. Now as I indicated – look we had some property losses that were higher than expectations in the quarter, obviously when you do it for the half, they are in line, but for the quarter it made the Canadian piece slightly unprofitably. And since that's been where the lion share is, right, that's why the quarters international. Look, so there are efforts clearly in particularly on the Lloyd syndicate to make that more profitable and we remain very optimistic about our international operation both in terms of it contributing to our bottom line, but also our ability to be able through some of the multinational client. So we're all over its various components, maybe that's a little bit longer than you were hoping for, but I think important to dissect that way.
Q – Josh Shanker: Dino, its great perspective. Thanks for sharing that. Very helpful.
Dino Robusto: Okay.
Operator: [Operator Instructions]. Next, we have Gary Ransom with Dowling & Partners.
Gary Ransom: Yes. Good morning. I had a question on the IT expenses, and wondering if you give us a little more of a qualitative view of what this investment is actually going to change in terms of the customer experience and the agents. What the underwriting tools might be? Kind of giving us a picture of what's happening down in the trenches for all these changes that you're making?
Dino Robusto: Yes. So, Gary, its Dino. Look, we're excited about this partnership with Atos. First of all, it is a very unique, what we call industry leading service model because they are assuming ownership of the IT infrastructure servers, devices and in the process going to be modernizing all of that. And that eliminate obsolescence risk for us because they take that over. Its very unique also in that it as a service model, so its a consumption-based model moreover Atos uses what they call there canopy hybrid cloud which puts our infrastructure and the software running on infrastructure is going to be migrated to the cloud, which is clearly what you want to be able to do. All of it is building if you will a large foundation for us to be able to then take advantage of the different sort of analytics languages et cetera that cloud brings to you and allows us to modernize it. It's also from a digital standpoint. It's also a sort of devices to service. So they take over all of the management of the devices and brings to bear there sort of cutting-edge digital interfaces which we fundamentally believe the right way to go if you a world leading provider get it in a consumption model as a service which is really really unique in the marketplace. In all of it also helps our entire security because of their cloud. So, look, we are interested in converting and building a foundation to convert all of our legacy, because this is clearly the direction in this industry with the tremendous advances in technology analyst. We're very very excited about the change and it’s a step, albeit a very large step in many more we're going to make.
Gary Ransom: So, the way you describe it as a consumption model, does that mean it's more akin to a variable cost as oppose to a fixed cost?
Dino Robusto: Yes.
Gary Ransom: Okay.
Craig Mense: So that you know as we grow they also benefit – of course like most – I was going to say, smart consumption models, that's right so that after a certain level of growth then the per unit cost comes down a little bit. But nevertheless, look, our interest is to let them benefit with us because that ends up making it interesting for them and once they've eliminated all the obsolescence risk and we are using the most cutting-edge cloud environment, we're both very happy.
Gary Ransom: And the $10 million of savings you referred to them that's part of just eliminating what you're doing and handing it over to them?
Craig Mense: Absolutely, there is no question that the scale they bring to bear on a global basis, and I think it's slightly conservative the number at 10 million. So that's baked in as a seven-year deal, so we're very excited.
Gary Ransom: Okay. I will love to hear more about that over the next several quarters.
Craig Mense: Great.
Gary Ransom: Can I change the subject slightly?
Craig Mense: Sure.
Gary Ransom: I wanted to also ask about loss cost trends too and just whether you're seeing anything across your lines that are a change or shift. You see frequency moving up anywhere. You see severity doing something unusual. I'd love to hear about any pockets where there's change?
James Anderson: Sure, Gary. This is James. I'll give you some color on a few areas. I mean the one area that we're seeing the most change is healthcare as Dino has mentioned. So, we've seen increasing severity trends really driven by large jury awards that both we and the rest of the industry have seen more recently driven by large hospitals and aging services. And as Dino mentioned our underwriters have continue to respond by managing the rate-retention dynamic there getting the six point raise in our retention down at the 73% level. We have now baked in loss cost trends of 6% into that healthcare book. The other area that's elevated from a severity trend standpoint is commercial auto and that's not really a change. It's been elevated for several years, but that's a 4.5% severity assumption with going up to six when we have excess exposures. And at the other end of the spectrum, worker's comp loss cost trends continue to be very good. We're seeing high single digit negative frequency and flat severity, but just to make you crystal clear that's what we're seeing, in our worker's comp reserves we still have a 4% severity assumption baked in as we want to make sure that our reserved levels are set at the longer term trends. I would say, all the other line, Gary, really more modest with no real deviation from our longer term trends.
Gary Ransom: All right. Okay. That's very helpful.
Dino Robusto: Gary, its Dino, if I can just -- sorry, Gary, if I can just add to the point about healthcare as James was saying, right, we've been reacting very aggressively and you're seeing rate increase to 6%, 9%, 8% and moving the retention effectively, the combined ratio over the last six quarters come down about 15 points, still a little over a 100, but it is been – its caused that and overall rate retention dynamic is improving it very quickly, so we feel good about it being in a profitable position some time in 2019. So I just thought I'd add that color.
Gary Ransom: Okay, great. Thank you very much, James.
James Anderson: Thanks Gary.
Operator: [Operator Instructions]. Next we have Meyer Shields with KBW.
Meyer Shields: Great. Thank you. Good morning. James, If I can just close the loop on that. Are you booking worker's compensation frequency negative or flat?
James Anderson: Well, our current trends right now we have severity is running flat and we book a low single-digit negative frequency.
Meyer Shields: Okay. Thanks. And then sort of on the same topic, I guess in your introductory comment you talked about renewal premium changes coming in line with loss trend. Do you think that is from the perspective of renewal premiums or the rate side in terms of forward underwriting margins?
Craig Mense: Yes. So, the renewal premium changed both – it’s a combination of the rate and exposure and exposure that had gone up a point. So the written; little over 4%, four points – it's about two points higher. The earned now is inline with the loss cost trend. Look, its good news in the exposure growth, not all exposure, obviously, acts like rate, some has much more impact, so in the case of payrolls as salaries go up for the same amount of work, that's clearly to your benefits, there is other forms and then there some exposure that is – that doesn't act as rate. Nevertheless, there's a good portion of it that does. It's been consistently going up. So, okay, so it's continues and it sustains itself, that's going to portend well for the underlying loss ratio.
Meyer Shields: Yes. That makes sense. And then just quickly the IT savings; are those going to be incorporate in the individual segment for both?
Craig Mense: It's going to be in the expense ratio, by the business units that used and then impact, right?
James Anderson: That's right. It will come through in all the areas, it will come through a new layer, it come through in the expense ratio, all the different parts of the enterprise.
Meyer Shields: Perfect. Thanks so much.
Operator: [Operator Instructions]. It looks we have another question from Ron Bobman with Capital Returns.
Ron Bobman: Hi. Good morning. Congrats. I had a one simple question. If my memory serves me I thought, I don't know five plus years ago, you went to sort of a semi or some sort of outsourced tech service provider model but I’m a little bit, I’m not sure but if I am close to accurate could you explain the transition if there is one.
Dino Robusto: Yes, I mean we did Ron. I think it was probably seven years ago we moved to an outsourced model but different than the one that what we were moving to now. It was really an outsourced labor model before so this is much more an infrastructure as a service where it’s not just the labor, but it’s the entire hardware as Dino mentioned servers, networks everything the entire infrastructure is being outsourced to the third party. Yes and that firm is who we changed from to Atos. So your memory is quite good.
Ron Bobman: Okay, so something’s it is not with yesterday’s lunch. Thanks gentlemen and good luck with it.
Dino Robusto: Thanks, Ron.
Operator: And at this time, it appears we have no further questions from the audience. I’d like to turn the floor back to management for any additional or closing remarks.
Dino Robusto: Now that’s great. Thank you everyone for joining us today. See you in a quarter.